Operator: Good afternoon and welcome to Fluor Corporation’s Fourth Quarter and Year End 2009 Conference Call. Today’s call is being recorded. At this time all participants are in a listen-only mode. A question-and-answer session will follow management’s presentation. A replay of today’s conference call will be available at approximately 8.30 P.M. Eastern Time today, accessible on the Investor Relations section of Fluor’s Web site at www.fluor.com. The web replay will be available for 30 days. A telephone reply will also be available through 8:30 P.M. Eastern Time on March 3rd at the following telephone number. 888-203-1112. A pass code of 4924283 will be required. At this time for opening remarks I’d like to turn the call over to Ken Lockwood, Fluor’s Vice President of Investor Relations. Please go ahead Mr. Lockwood.
Ken Lockwood: Thank you, operator. Welcome everyone to Fluor’s Fourth Quarter and 2009 Year End Conference Call. And with us today are Alan Boeckmann, Fluor’s chairman and CEO, we also have David Seaton, Fluor’s Chief Operating Officer and Mike Steuert, Fluor’s Chief Financial Officer. Our earnings announcement was released this afternoon after the market closed and we have posted a slide presentation on our Web site, which we will reference while making prepared remarks this afternoon. Before getting started I would like to refer you to our Safe Harbor note regarding forward-looking statements, which is summarized on Slide #2 of the presentation . During today’s call and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information, and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10K, which was also filed today, February 25, 2010. With that I would like to turn the call over to Alan Boeckmann, Fluor’s Chairman and CEO. Alan?
Alan Boeckmann: Thank you, Ken. Good afternoon, everyone and I would like to thank you for joining us. Today, we will be reviewing our results for the fourth quarter and for the full year of 2009, providing an update for you on our current business outlook and then discussing our earnings prospects and guidance for 2010. First, before we get into the specifics, let me just say that Fluor’s strong earnings in 2009 which included very good performance from oil, gas, power and government segments were surpassed only by our record results in 2008. And despite over $5 billion in cancellations and scope reductions during 2009, we finished the year with a $27 billion backlog. In an addition, our cash and our marketable securities balance grew to 2.6 billion. I would like to take a look at some of the highlights of our financial performance in 2009 and I refer you to Slide #3. Net earnings attributable to Fluor for 2009, declined 4% to $685 million, that’s $3.75 per diluted share. And that compares very favorably with the record $716 million or $3.89 per diluted share in 2008. You will recall then in 2008, we were bolstered by a $79 million pretax gain which was $0.27 per share, and that was related to the sale of our equity in the Greater Gabbard wind farm development. Consolidated segment profit for the year was 1.25 billion, and that was down 3% from 1.29 billion a year ago. Full year results reflected very strong profit growth in the Government and Power segments. And Oil and Gas results which matched record levels achieved last year were offset by a decline in global services. Consolidated revenue for the year totaled $22 billion that was effectively flat with $22.3 billion, a year ago. And the segment margins held up well at 5.7% that was down just a bit from 5.8% the previous year. Move to Slide #4 if you would and there we see full year new awards for $18.5 billion, down from the record bookings of $25.1 billion a year ago. Mainly, that was due to a significant decline in Oil and Gas awards during 2009. As expected, our fourth quarter new awards were somewhat below recent trend lines at $3.3 billion. That included awards of $1.6 billion in industrial and infrastructure and $912 million in Oil and Gas. Backlog of $26.8 billion at year-end was down from $28 billion at the end of the Q3. With that I would like to turn the call over to David Seaton, Fluor’s Chief Operating Officer to talk a little about the markets in each of our segments. David?
David Seaton: Thank you, Alan. If you don’t mind I’ll start with Oil and Gas and work my way through the segments. If you will turn to Slide #5, Oil and Gas had another tremendous year in 2009 from an earnings perspective, but the markets have clearly cooled off particularly to a downstream in refining perspective in the United States. While this was not at all unexpected it does leave a sizeable hole to fill. We continue to see downstream prospects in the U.S., but they are smaller in size. The recent announcement of our selection by Pasadena Refining is a good example of this. We see the refining market continuing to move internationally, specifically, in Europe, the Middle East, and Asia and to some degree in Mexico. In Petrochemicals, we see some opportunities in Chemical and Specialty Chemicals in the Middle East and China, and to a lesser degree in Europe. We have excellent experience and strong client relationships in those markets. And I think we have a good chance to capture some of the projects that will go forward during the 2010 timeframe. Finally, I believe that the majority of the capital investment going forward will be focused in the upstream segment. We have a long resume of experience on the onshore side. And as you know we are working to build our capabilities on the offshore side through alliances with Global Industries and CNOOC of China. There are substantial investments planned in the Middle East, Russia, Australia and Canada, and depending on a specific geography to client and our competitive position, we may target different roles that range from the front end design EPC to acting as the program or project manager. Overall, with regard to major Oil and Gas prospects, we are seeing a significant increase in our FEED activity, but in many cases the timing of the EPC is slipping out. If you will turn to Slide #6 now, let’s talk about the Power market. Our Power backlog has come down as we complete the old growth project, but I think the backlog to this group has a good chance of stabilizing during this year. As we discussed in the past, we’ve been winning gas fired EPC projects and FEED awards on the renewable side mainly solar, and just announced an award for 50 megawatt power plant in Spain. We’re also looking on the application of Co2 capture for coal plants which could lead to EPC opportunities and late this year or early 2011. We continue to support Toshiba on the NRG STP 3 and 4 project and we’re very encouraged by NRG’s announcement last week that they favorably resolved the issue at CPS Energy, so the project can continue. This is a tremendous project to Fluor and development remains on track to become one of the first nuclear projects to receive DOE loan guarantees and a construction operating license. In industrial and infrastructure, mining backlog is up again this quarter and that’s a trend we expect to continue to see. In the fourth quarter we booked a sizeable diamond mine expansion in Barcelona and we’ve also released on a package for phase 6 of the BHP Billiton’s Rapid Growth Program. More importantly, we have a lengthy list of very large mining prospects and we have a demonstrated strong win rate. In infrastructure we continue to focus on selected road and rail opportunities in the U.S. and Europe. During the fourth quarter, we booked a design build contract for the I-15 Corridor Reconstruction Project in Utah, as many of you recall, we were selected as the contractor on SH161 project in north Texas and we expect this award to go in to backlog in the first quarter or second quarter of 2010. Another active infrastructure area is offshore wind development. During the quarter, a joint venture including Fluor and Scottish and Southern Energy was awarded exclusive rights by the Crown Estate to develop round three win offshore wind farm zone in the first of fall, is my knowledge of the coast of Scotland. The zone has potential installed capacity of 3.4 gigawatts, which would almost double Scotland’s entire existing renewable capacity. These are long-term opportunities that I think position us to be a leader in the offshore wind farm market. Moving to Government segment, if you turn to Slide #7, this group had very strong performance this year. During the quarter, the group recorded about 200 million in LOGCAP IV Task Orders in Afghanistan. And the transition of the north region of Afghanistan is going as expected. As you know we booked these amounts as we are released to take on those specific scopes, so this contract should continue to generate awards each quarter. Earlier this month, we announced the LOGCAP Task Order to perform work in Haiti. Subsequent to that announcement we were informed that the State Department would instead provide Haiti support through the USAID organization and our contract was withdrawn by the army. In addition to the opportunities with the Department of Defense, we have several opportunities to expand our services with the Department of Energy; most imminent of these procurements is the Portsmith facility, where we expect a decision sometime in late 2010. I’m encouraged by the Government group’s recent successes and look forward to continued growth in 2010. Our Global Services segment continues to be impacted by client deferrals of discretionary spending and maintenance activities. We still maintain presence on nearly 300 sites and remain optimistic that more normal spending levels will return sometime during this year. During the fourth quarter DuPont awarded Fluor the multiyear contract for construction maintenance and services on nine sites throughout the United States and Puerto Rico. This new contract includes seven existing sites where Fluor already has a presence plus two additional sites. That’s quick summary of the segments and some of the market highlights. I will turn it back to you, Alan.
Alan Boeckmann: Thanks David. Regarding overall market conditions, while we have definitely been encouraged by the very notable uptick in front end engineering activity we continue to experience what I would call uncertainty as overall capital investment in most of the markets lag behind the levels we saw prior to this recession. The only notable exception that we see to that is both our government business and the very substantial investments that our mining clients are making. Now, I would like to ask Mike Steuert to review some details of our operating performance by segment and then Mike will summarize some of the noteworthy corporate financial metrics. Mike?
Mike Steuert: Thanks Alan, and good afternoon, everyone. First, let me provide you with a brief recap of the results for each operating segment. Please turn to Slide #8 of the presentation. Fluor’s Oil and Gas unit reported record segment profit of $730 million, which is slightly above the previous record profits of $724 million achieved in 2008. Although revenue declined 9% reflecting slowing of new awards and a declining backlog, segment profit was bolstered by strong margins, driven by favorable performance on various projects. New awards for the segment totaled $7 billion, down from $15.1 billion in 2008, which included a number of sizeable downstream refining awards in the United States. Ending backlog declined to 11.8 billion, driven in part by 5.2 billion in cancellation and scope reductions. Now, if you move on to Slide #9, Fluor’s Industrial and Infrastructure group reported segment profit of $140 million. This compares favorably with 2008, which included a pretax gain of $79 million on the sale of the Company’s joint venture interest in the Greater Gabbard Offshore Wind Farm. Revenue for the segment rose 39% to 4.8 billion, due to increases in mining and infrastructure project volume. New awards totaled a segment record of $6.8 billion, up 36%. Yearend backlog also rose to a segment record of 10.2 billion, which is a 53% increase over 2008. The Government segment posted profit of $117 million, more than double the $52 million reported a year ago. Improved results primarily reflect contributions from the LOGCAP IV Task Orders in the Savannah River project. Revenue in 2009 grew by 50% to $2 billion. New awards totaled $2.3 billion for the year, up from $1.4 billion in 2008, including both the annual contract award and special American Recovery and Reinvestment Act funding at the Savannah River and incremental LOGCAP IV Task Orders. Ending backlog for government rose 27% to $1 billion. Now turning to Slide #10, segment profit for Global Services declined $140 million in 2009, down 39%, including the impact of the $45 million charge on the Paper Mill project in the third quarter. Revenue decreased by 23% to 2.1 billion, reflecting the impact of the global recession, which continues to cause declining volumes of capital work and maintenance activities. Full year new awards of $1.3 billion were well below the $2.1 billion received in 2008, bringing year end backlogs to $2.4 billion. Fluor’s Power group reported a 65% increase in segment profit, to record $124 million while revenue declined by 33% to $1.3 billion. Decrease in revenue reflects a decline in backlog, driven in part by the large Oak Grove coal-fired power project which is nearing completion. Increased segment profit reflects favorable project completion adjustments and fees associated with several other projects. New awards in 2009 totaled 894 million, below the 1.3 billion reported a year ago due to reduced power demand and uncertainty regarding carbon emissions legislation. Power segment backlog was 1.3 billion at year end, down from 1.8 billion at the end of 2008. As Alan already mentioned Fluor’s consolidated backlog at year-end stands at $26.8 billion. This represents a sequential decline of $1.3 billion from last year, reflecting the fact that our revenue burn exceeded the level of new bookings in the quarter. There were no material cancellations in the fourth quarter. The percentage of fixed price backlog now stands at 21% of total backlog, with 38% of backlog in the U.S., and 62% outside the United States. Now, I will move on to the corporate items as shown on Slide #11. G&A expense for the year improved substantially to 179 million, down from 229 million a year ago, mainly driven by lower compensation related expenses and cost reductions. Net interest income for 2009 was $14 million, substantially below the $48 million we earned last year due to the impact of lower interest rates. The effective tax rate for 2009 was 35.5%, slightly higher than the effective tax rate of 34.4% for 2008. The effective tax rate for 2008 included favorable benefits resulting from several of the reversal of certain valuation allowances, statute expirations and tax settlements. The effective tax rate for 2009 at 35.5% was somewhat lower than we expected. We do expect the tax rate from 2010 to be plus or minus 38%. Shifting to the balance sheet, the consolidated cash and marketable securities balance moved up to 2.6 billion at the end of 2009 which compares with 2.1 billion at the end of 2008. A $500 million increase was driven by strong cash flow from operations which totaled just under $900 million for the year. So far during the first quarter, we have seen our cash balance declined by about 300 million due to traditional seasonal working capital increases in the quarter. During 2009, we did repurchase 125 million of Fluor shares, about 260 shares of $12 million, we repurchased in the fourth quarter. We also paid out $24 million to the convertible note holders during the year, which helped bring our debt to total capital ratio down to a very modest 4%. We declared a normal dividend of $12.5 per share, which is payable April 2nd, and capital expenditures for the year were $233 million, down from $300 million in 2008. Overall, Fluor’s financial condition remains very strong and has been for the last several years. Finally, let me address your guidance for 2010 which is shown on Slide #12. We are beginning to see some positive signs of recovery as Alan and David mentioned, as evidence by the new amount of front end activity and we expect capital investment levels to gradually rebound as the global economy improves. However, relatively low new orders in this quarter and recent quarters and continuing delays in the full release of major projects is expected to put pressure on our 2010 earnings. Based on a detailed evaluation of the projected impact on the effective business segments we’re reducing our 2010 earning guidance to a range of $2.80 to $3.20 from the previously established range of $3.20 per share to $3.60 per share. With that, operator, I believe we are ready to take questions.
Operator:
Jamie Cook – Credit Suisse: Hi, good evening.
Alan Boeckmann: Good evening.
Jamie Cook – Credit Suisse: For questions, really, I guess, revolve around the guidance if you could just give a little more clarity. I guess the low end of the range surprises me to some degree. So can you talk about I understand what have been weaker but sort of what your anticipation is of the burn rate for 2010, is it the usual 60% to 65% and then we get the regular book and burn stuff? Because I would think you could at least do 20 billion or so in rev. So is it a rev issue? What are you seeing on the margin pressure side I’m just wondering if that’s compounding the guidance outlook that we see for 2010. And, sorry, Mike, also G&A, what you’re assuming for 2010 was I missed it?
Alan Boeckmann: I’ll let Mike respond to the last part, Jamie. The issue clearly is the pace and size of new awards. As you know we had a $2.7 billion third quarter, now fourth quarter at just over $3 billion. Those were both lower than we thought. And there were characterized by larger projects moving out, such that they are now targeted in our Q1 or Q2 of 2010. And it’s those bookings in particularly the fourth quarter that you count on to drive your results for the following year because you get a full fourth quarter burn out of the revenues on those projects, so, that’s one issue. The other one is a margin issue but it may not be exactly like you expect. We are doing incredibly well in our mining industry, booking new awards, and that’s helping us keep that backlog up, but our Oil and Gas has fallen off fairly significantly. That’s a margin shift. Those businesses have different margin characteristics. So we are replacing a good portion of the revenue, but it’s coming in at a lower margin through our mining industry. And so that has been another characteristic that’s changed and driven our outlook to where it’s at. It’s the first time we had to lower earnings expectations in quite some time that were driven just strictly by a market issue and not a performance issue. And it is truly market. Now I do believe that starting with Q4 we’re going to see incremental increases in the booking revenue over the next couple of quarters. And some of those projects that have moved out are still very real. They are just taking longer than we thought to come to fruition. I will let Mike to speak to the G&A and any other comments he wants to add to that.
Mike Steuert: Thanks, Alan. Jamie, our guidance for 2010, for G&A, is going to be roughly $200 million. We do expect to probably burn about 60% of our backlog as we indicated in the 10K.
Jamie Cook – Credit Suisse: Okay, but, Alan, sorry, then I will get back in queue, I’m sure everyone has a lot of questions. Just on a lot of it seems like you were expecting a bigger award in Q4 that was going to help your 2010 numbers but still seems like a dramatic decrease in EPS guidance given the fact that Q4 is just little wider and you are saying, expecting to sort of return in Q1 to Q2. I get the margin issue. Anything else there or can you just help me understand what you assume at the low end of the range versus the high end?
Alan Boeckmann: The low end of the range assumes continued significant drop off in new awards or the delay of those.
Jamie Cook – Credit Suisse: So we continue with the 3 billion or so pace is that worse?
Alan Boeckmann: I think my guess is that we will come above the 3 billion pace as we go forward.
Jamie Cook – Credit Suisse: But does the 280 million assume the low.
Alan Boeckmann: But the 280 million assumes that we don’t maybe rack up as quickly as what we’re expecting. And that’s been the case over the last two quarters. We’re trying to be a little conservative on the low end.
Jamie Cook – Credit Suisse: Okay, so to be clear, the 280 million assumes a 3 billion-ish order run rate over the next couple of quarters.
Alan Boeckmann: 3 billion or in that range, yes.
Jamie Cook – Credit Suisse: Okay, thank you, I will get back in queue.
Operator: We will take our next question from Will Gabrielski with Broadpoint Amtech.
Will Gabrielski – Broadpoint Amtech:
Alan Boeckmann: The big loss in 2009 where we done the FEED work was the GASCO project in Abu Dhabi. And that was just a tremendously competitive bid process. I anticipated at that time we would see a renewal of not just FEED work but PMC opportunities, which has been historically where we gone after these large projects. And we, in fact, have seen exactly that happen, Will. When we get into the FEED side, it’s a more competitive market than it was, but it’s not as dramatic as what you see on the EPC side. And we do have a fairly significant number of FEED projects we booked in the last two quarters. But our prospects for Q1 actually include probably one of the largest slates of FEED projects we’ve seen in quite some time.
Will Gabrielski – Broadpoint Amtech: Okay, and then on the PMC side, since you mentioned it, do you feel like the environment has shifted more permanently this time to some of the Asian competitors are you able to stay competitive with you throughout the cycle or do you see us reverting back to the similar to '04, '05, followed by '06, '07, '08?
Alan Boeckmann: We never really had competition from the Asian EPC contractors for PMC. Our competition for PMC has largely come from Bechtel and Foster Wheeler. And I don’t see that changing in this market. The Asian contractors, the Koreans, Japanese have always been pretty successful on the EPC portions even over the last four years to five years. The difference here is that everybody is hungrier today than they were over the last cycle. And so, the margins and the bidding pressures are just that much more than they were at that point in time.
Will Gabrielski – Broadpoint Amtech: So how do you view when you look at the backlogs and the award targets for 2010 for some of the competitors in Asia? You would think they would be less hungry with the amount of revenue coverage they have in backlog right now, yet it doesn’t seem to be the case, they are backing off. What are you seeing competitively when you show up against them or what are you hearing about their ability to continue to book work and do they now have a new business model that’s somewhat altered from past cycles?
Alan Boeckmann: I’ll tell you, I’m going to transfer that question over to David Seaton. He has been doing a significant amount of work and presence in the Middle East, where most of the work is going on and he has got a good view of it. David?
David Seaton: Thanks, Alan. I really don’t see a shift in their business model at all. As a matter of fact I think beckons back to a couple of years ago with the first four gaining projects; it’s some pretty aggressive pricing. I think the diversity that we have in being able to do that front end the PMC, in addition to kind of doing some of the utilities and offsites with the integration work still bodes well for us. I think our model still holds true. Although I think for us to continue to grow we are going to look at competing selectively, but competing against some of the Asian contractors and just the competitive landscape specifically in the Middle East, where I think we got a competitive advantage. Clearly, Habshan, as Alan mentioned was disappointing to us, but it was also quite a learning experience. And I think we’re better prepared today to take our fair share of that market in the Oil and Gas piece as well as other industries in the Middle East.
Alan Boeckmann: And Will, further to your question, I do believe, there are significant number of large projects that are slated to come on to EPC status in the next 18 months. I think you are going to see people start to get full backlogs. I don’t believe this competitive pressure we’re facing today is here to stay. I really do believe you will start to see a transition where there is a little more equilibrium in the market towards the second of this year.
Will Gabrielski – Broadpoint Amtech: Okay. And does your strategy, I guess, I’ve heard from some of your competitors that possibly have you been approached by any of these Asian firms to work together, I did see you teamed up with Samsung on the Singapore regas project, so, I’m curious if that’s a strategy going forward also
Alan Boeckmann: It’s been a strategy we used for quite some time. We have teamed with the Koreans in Kuwait and we’ve also teamed with them in offshore West Africa. It’s a common practice that we use on a lot of large projects that require a total EPC risk profile.
Will Gabrielski – Broadpoint Amtech: Okay, thank you.
Alan Boeckmann: You bet.
Operator: And for our next question we will go to Michael Dudas with Jefferies.
Michael Dudas – Jefferies: Good evening, everybody.
Alan Boeckmann: Hi, Mike.
David Seaton: Hi, Mike.
Michael Dudas – Jefferies: My first question is given the competitive nature, the relatively soft 2009 that the industry has seen, has that opened up some better opportunities for Fluor to look at growth by acquisition?
Alan Boeckmann: Mike, the answer is yes. But, we are pursuing a strategy of acquisition. I will have to say that it’s been tougher than we had thought. We are taking a fairly conservative approach into what we would pay for acquisitions, but we’re still dedicated to doing that, particularly, in the area of offshore Oil and Gas and infrastructure. And we’re still pursuing opportunities in discussions in that arena. I would hope to be able to do something in both of those areas in 2010.
Michael Dudas – Jefferies: And my second question is relative to in the infrastructure business in the mix of your backlog, has it been as competitive or has it been little less competition for you in your mining and infrastructure work that to allow you to contract some better targets and risk mitigation in that marketplace? And given the U.S. market everybody has been bit concerned about the local state budgets, etc., will that enhance the opportunity for some of the larger project financial work for Fluor, typically, does quite well on the infrastructure side?
Alan Boeckmann: You mentioned two markets; we’re actually doing quite well in, even given the current market status. Mining, in particular, we truly excel in that arena in terms of our ability to capture awards throughout the last several years. In the infrastructure side, I think we are the best in the market at doing design build and being able to integrate between the engineering and the construction. And we drive a significant amount of efficiency in doing that. So, we have been very successful, even in competitive lump sum bidding in that arena. However, the current budget crises that you talk about, in the number of the states, I think really does help us in the PCP market, where we do a lot of project development. That combined with we think we’re starting to see the opportunity to finance some of these projects, starting to become more advantageous than it has been in the past. So, that is an area we’re focusing on and we think will help drive better results as we go through this year.
Michael Dudas – Jefferies: That continued to be a pretty good margin business for you relative to everything else you have?
Alan Boeckmann: Yes, it’s true; it’s still one of our better margin businesses.
Michael Dudas – Jefferies: And just one finally, you think that the mining cycle, let’s say, two years looks pretty robust for projects primarily in Latin America and Australia?
Alan Boeckmann: Without a doubt, I think, both those areas significant spending plans on part of all the big mining houses.
Michael Dudas – Jefferies: Perfect, thank you, Alan.
Operator: For our next question we will go to Graham Mattison with Lazard Capital Markets.
Graham Mattison – Lazard Capital Markets: Hi, good evening, guys.
Alan Boeckmann: Hi, Graham.
Graham Mattison – Lazard Capital Markets: Question on the offshore, one of your partners today on their call made some pretty optimistic comments about their outlook for the Middle East. Wondering if you maybe able to comment on what you’re seeing there, what you’re bidding on or type of work you’re bidding on and success, when you think that might be able to contribute that is 2010 or more 2011?
Alan Boeckmann: Graham, I’m going turn that question over to David as well. David?
David Seaton: Okay, thanks, hello, Graham. I think there’s great opportunity in the Middle East with our partner there, which is why we kind of pull that alliance together. We are bidding on a couple of projects, major projects right now. Mostly, fixed platforms, but I think one or two could be awarded during 2010, but I see kind of a pent up demand there and I see that as a robust market for us going forward.
Graham Mattison – Lazard Capital Markets: But if one of these were to be awarded in 2010, would you be able to recognize, I guess, where would the bulk of the revenues come in there, would there be more of 2010 or would it probably spill more into '11 or possible ‘z12?.
David Seaton: It would spill more into '11.
Graham Mattison – Lazard Capital Markets: All right, great. I will jump back in queue, thank you very much.
David Seaton: Thanks, Graham.
Operator: We will go now to Scott Levine with JP Morgan.
Scott Levine – JP Morgan: Good afternoon, guys.
Alan Boeckmann: Hi, Scott.
Scott Levine – JP Morgan: Question on the margins you indicated that mix was having an impact with regard to the mining versus the Oil and Gas example, but I was wondering within the individual business lines are there some that you would highlight that are holding up on a comparative basis, particularly well relative to others, what would those be?
Alan Boeckmann: I think mining is it just happens to be one of our lower margin businesses because of the amount of pass-through revenue we do there. I think power is holding its own albeit on a smaller volume of booked work. We’re seeing the competitive pressures lessening or driving down margin somewhat in our Oil and Gas business primarily.
Scott Levine – JP Morgan: Okay. And turning to the government side, I sense you guys sound little pessimistic or cautious with regard to stimulus, I was wondering if you’re feeling any better there that you did maybe six months ago, number one, and secondly, if you could offer up your thoughts with regard to the budget proposal and what your thoughts are on how the proposal for government spending looks for fiscal '11?
Alan Boeckmann: I would have to say in terms of stimulus that we aren’t all that bullish on it. The stuff that’s come out that really is targeted at infrastructure has been relatively small. And those projects that have been utilized and typically fairly smaller projects done by either municipality or county governments. And those typically aren’t our clients. Our clients are the state DOTs, that drive the much larger projects that we go after on a design build basis. We’re not real, there’s nothing really in our forecast with respect to that. The proposed budget does have a number of things that are interest to us, clearly, the additional loan guarantees for DOE, I think is a real positive sign. The subsidies and so forth for renewables is also something that I think we’re developing the strongest resume and whole renewables area, and that’s an area we intend to continue to push. But all the other things are out there don’t really seem to come into our strike zone and so, we are really looking more at the private sector and primarily, more offshore than in U.S.
Scott Levine – JP Morgan: Understood. One last quick if I may, on Global Services it sounded like you guys are expecting recovery there in 2010. Would you say any more optimistic than you were three months to six months ago on that subject?
Alan Boeckmann: I think we are. We are starting to see it kind of flattened out during the last part of the fourth quarter and going into Q1. We are starting to see a little more activity at sites. And we kind of predicted this, if you remember the call last quarter, because the stuff that’s being delayed, the discretionary spending can only be put off so long. And so as we move into the spring timeframe, in particular, when you start to see really seasonally a lot of the turnarounds that occur both in the spring and fall, we think, those are going to be more robust and more volume than what we saw last year.
Scott Levine – JP Morgan: Very well, thanks Alan.
Operator:
Andy Kaplowitz – Barclays Capital: Good evening, guys.
Alan Boeckmann: Andy, hi.
Andy Kaplowitz – Barclays Capital: Alan, you mentioned margins in Oil and Gas are under a bit of pressure, but if I look at the performance in the fourth quarter, still that 6.3%, if I look back over the last three years to five years, I see margins in the fives, '06 to '08 and in the fours before that. So, I guess the question is how much pressure, is there any way to give us some color on what you see because it’s hard to see it in the numbers that you’ve reported over the last few quarters.
Alan Boeckmann: Andrew, we’re seeing some pressure there. I wouldn’t call it dramatic, I think, we continued to be very selective. The bigger point that I was trying to make, maybe I wasn’t clear enough is that we’re really, in terms of the mix of revenue that we’re seeing in our burn as we go through 2010 is going to have a lot more mining work, it’s going to be a higher ratio of mining work to Oil and Gas work than it was in previous years. It’s a trade-off and those two margins it’s going to really affect our bottom-line.
Andy Kaplowitz – Barclays Capital: That’s fair, Alan, but I guess, and it's safe to say the margins you’re booking on current Oil and Gas projects that are going into backlog are not so much lower than what we see that you’re reporting in revenue -
Alan Boeckmann: It’s not a giant drop-off, but it is, they are lower, it is a tougher market.
David Seaton: Alan, if I could, it’s David. I think you’re seeing a shift to the construction phase of many of the projects in Oil and Gas, which is typically not quite as high as the engineering phase, but at the same time, we’re starting to see a lot of FEED activity, which is pure services and it does attract a little bit higher margin, but in general, I think it will still be under pressure, but as Alan said it won’t be dramatic.
Alan Boeckmann: I think David makes a good point. We’re starting in the revenues that we had in fourth quarter and I think what you’ll see in first quarter is little higher ratio of front end services work, which does help to keep the margins up there, Andy.
Andy Kaplowitz – Barclays Capital: That’s helpful. And a follow-up, maybe it’s for David. So we saw less than a billion dollars in new awards in Oil and Gas. And we see 2.5 million in revenue. So the question is, I mean I know that the other segments are going to help the backlog going forward to some extent, looks like Oil and Gas is still coming down for a while, can it stabilize this year, are there enough large projects out there, what’s the conviction level around Oil and Gas backlog stabilizing?
David Seaton: Well, I will answer it couple of ways. One, as we talked, we’re kind of a victim of our own success when you look at how well we did on the U.S. refining market back in 2007, 2008 standpoint. And working that off creates quite a big hole. Specifically, the fourth quarter several projects that shifted from quarter-to-quarter. So I know, Alan used this term and I continue to use this term is our awards, particularly, in Oil and Gas, will continue to be lumpy as we go through the year. I will say that there is a tremendous market out there and I think we are as well positioned to capture that market as anyone. It’s matter of timing to us. So to your question of whether it’s going to completely stabilize during 2010, I wouldn’t venture to guess, but I think the long-term opportunities are significant. So I think we’re kind of in that book to FEED work kind of phase like we were in the '06 timeframe and we will see the fruits of those labors as we go in to '11 and '12.
Andy Kaplowitz – Barclays Capital: Okay, that’s helpful David. I will get back in queue.
Operator: And we will go new to Steven Fisher with UBS.
Steven Fisher – UBS: Hi, good evening.
Alan Boeckmann: Hi, Steven.
Steven Fisher – UBS: Just to follow-up on Andy’s question there, so based on just FEEDs alone, it sounds like that may not be enough to stabilize the backlog in Oil and Gas that you do need some EPCs there to help out is that the way to understand it?
Alan Boeckmann: That is true, Steve. When we look at our forecast for the year, I think you’re going to start to see some good size project awards hit E&C, really starting in the second quarter is then and we had really anticipated some of those that we’re pretty confident now in second quarter, we’re really going to be Q4 or Q1 events.
Steven Fisher – UBS: Okay. And so in the meantime I mean should we start to see the revenues in Oil and Gas trend similarly with the year-over-year backlog change and maybe a little bit lag?
Alan Boeckmann: Correct.
Steven Fisher – UBS: On the SG&A, I was just wondering why SG&A would be up versus 2009 when volumes are coming down.
Alan Boeckmann: Mike, go ahead.
Mike Steuert: Sure. Basically what’s reflected in there are just traditional salary increases for the staff in our SG&A activities. Other than that there is really no substantial change in SG&A year-over-year. This is truly our corporate SG&A, where we did have substantial reductions in 2009.
Steven Fisher – UBS: Okay. And then just one last quick one. I think you had anticipated earlier that there would be about a billion dollars of revenue opportunity in Afghanistan in 2010 based on the initial timetables, where does that outlook stand today?
Alan Boeckmann: Mike, go ahead.
Mike Steuert: We’re looking at something in that ballpark probably maybe just slightly less.
Steven Fisher – UBS: Okay, so nothing materially less?
Mike Steuert: No.
Alan Boeckmann: Right.
Steven Fisher – UBS: Okay, great, thanks a lot.
Operator: We will go now to Joe Ritchie with Goldman Sachs.
Joe Ritchey – Goldman Sachs: Thank you, good afternoon everyone.
Alan Boeckmann: Hi, Joe.
Joe Ritchey – Goldman Sachs: I may have just missed this, but when I taking a look at your SG&A for next year and your expectations of 200 million, that seems to be up about 10% over 2009, are you expecting some cost in 2010 that you didn’t expect that you didn’t see in 2009?
David Seaton: Not really, no. I think, Joe, if you look at that number there is probably some opportunity for cost reductions in that number. We did have a very aggressive cost reduction process in 2009 and it was very successful for the company. We basically took 50 million out. There is a possibility that a small amount that was cost reductions may creep back in, in 2010. Pluses as I said, we did give our staff normal salary increases this year, which are part of the growth in the cost. And that was a change from last year where we kept salaries pretty flat throughout the corporation.
Joe Ritchey – Goldman Sachs: Okay, great. I guess you talked a little bit about the mix in your new awards shifting in 2010, does the midpoint of your guidance assume that your new awards are going to be flat, up or down versus 2009?
Alan Boeckmann: I think they’re going to be relatively flat. Again it’s going to be a transition year, that’s going to start off a little lower in both new awards and maybe even EPS, and then build-up during the year.
Joe Ritchey – Goldman Sachs: Okay, great. And one last question, can you give us an update on the Greater Gabbard project; I think you said about $115 million that you recognized last quarter, but just wanted to get a sense for what was happening this quarter?
Alan Boeckmann: As you know, we have stopped taking profit on that project because of the current (inaudible) with the client. We think we’re in very good shape on that. The project itself has overcome the delays that had hit it in the fall. In fact, have closed construction for the winter season as planned right on target in the assembly and the placement of the piles and transition pieces. So, we feel pretty positive about that project, we just need to get through the arbitration, which is looking like it will be on an accelerated pace.
Joe Ritchey – Goldman Sachs: Okay, great, thanks for your time.
Operator: We’ll go now to Jeff Spittel with Pritchard Capital.
Jeff Spittel – Pritchard Capital: Thanks, good evening, guys.
Alan Boeckmann: Hi, Jeff.
Jeff Spittel – Pritchard Capital: Thought your commentary about things picking up in the metals and mining business versus Oil and Gas was sort of interesting, sensibly there being driven by the same macroeconomic factors. Could you help us, I guess, understand a little bit better from your dialogue with your clients what is driving some of the metals and mining projects to kind of move forward at a more accelerated pace versus what you’re hearing from your Oil and Gas customers?
Alan Boeckmann: I think its several things. It’s first of all, its project opportunities. They’ve been developing some of these projects for some time, secondly, they’ve gotten and maintained fairly strong commodity prices and there are fewer large competitors in that arena than they are in the Oil and Gas side. They had their serious round of mergers acquisitions and combinations couple of years ago. So they all have very healthy balance sheets, they all are forecasting continued heavy consumption, most of the base minerals and metals and seem very committed to their capital spend.
Jeff Spittel – Pritchard Capital: Okay. And then in the Oil and Gas market, is there any particular geographic region, I guess, the Middle East might be one candidate, and then I guess between the split of offshore and onshore projects we’re starting to see FEED work accelerate?
Alan Boeckmann: Yes, Middle East is clearly the driver there, but we’re also seeing the number of things in the – what I would call, the former Soviet Union in southeast Asia/Australia. And also we’ve got some great opportunities both in Canada and in South America.
Jeff Spittel – Pritchard Capital: Okay, great. Thanks, guys, I will turn it back.
Operator:
Alex Rygiel – FBR Capital Markets: Thank you, good evening, gentlemen.
Alan Boeckmann: Hi, Alex.
Alex Rygiel – FBR Capital Markets: Few questions, first, the tax rate for 2010 looks a little bit high relative to my expectations. Did that have any impact on your lower guidance for 2010?
Mike Steuert: Alex compared to the results for 2008 and 2009, yes, it does. We had some favorable impacts the last two years on our tax rate that drove it down and at this stage of the year we’re really not forecasting any favorable adjustments on a normal run rate absent any valuation allowances or other adjustments. 38% is pretty much our normal tax rate. So, on a year-over-year basis it does impact the relative performance.
Alex Rygiel – FBR Capital Markets: I’m sorry, relative to your guidance from a few months ago, did you modify your tax rate at all?
Mike Steuert: No, the tax rate surely not a major driver in the difference in guidance.
Alex Rygiel – FBR Capital Markets: Fair enough. As we think about LOGCAP IV Task Orders over the next couple quarters, should we assume that they continue at the similar pace as the fourth quarter?
David Seaton: I would say, yes.
Alex Rygiel – FBR Capital Markets: And when we think about bid cost for larger DOE opportunities, do you think DOE bid costs will be greater in 2010 or less than 2009. What are magnitudes if it’s significant?
Alan Boeckmann: David, do you want to take –
David Seaton: I think they’re going to be about the same. I mean, as an example, the biggest procurement that was out there, ahead of us, was Portsmith, which we obviously spent the money in 2009, the next one that’s really out in front of us is Oak Ridge and I don’t see really any dramatic change year-over-year in our spend on pursuing that business.
Mike Steuert: Alex, let me remind you that we have space in our overhead rates to absorb those bid costs, so they really don’t hit the bottom-line.
Alex Rygiel – FBR Capital Markets: Perfect, that’s very helpful, thank you.
Operator: For our next question we will go to Barry Bannister with Stifel Nicolaus.
Barry Bannister – Stifel Nicolaus: Hi, gentlemen. If you take on the role of PMC in some of the Middle East projects then you would have a unique vantage point into whether some of the Korean subcontractors would be out of capacity and how backlog they would be. By our calculations there are almost four years of backlog, double any European, U.S. or Japanese average. As you do your preparations for the PMC bids, are you experiencing or seeing anything similar in terms of the amount of backlog relative to the amount of revenue?
David Seaton: I think you can see that without really being in an advantaged position as a PMC. When you look at some of the major projects in the Middle East, specifically, some of these awards are as large as existing backlogs were for some of the Asian contractors. Lake I said, it’s kind of a phenomenon and we’ve seen before. And one, we kind of anticipated and it just makes you kind of look at things with a jaundice eye when you look at selectivity where you want to pursue some of these things, when this FEED-ing frenzy is among us. So I think that in the next couple of years, you’re going to see the Asian contractors with a capacity issue, which I think opens up opportunity for companies like ours.
Barry Bannister – Stifel Nicolaus: In the mid to late 1970s Fluor Daniel had a backlog of at least five years though, do you think the Saudis and others are aware of just how backlogged these companies are and how long it may take to build the projects?
Alan Boeckmann: Absolutely. They do in-depth studies from time to time and I think they know exactly what the capacity of the companies are.
Barry Bannister – Stifel Nicolaus: Okay. So they must not need that capacity for quite a while, I would guess.
Alan Boeckmann: I think there is significant capital spend. I would suggest that most of them are concerned with some of the projects that have already been procured and the ones that are on the table. I can’t speak to this for sure, but if you look at the way things were delayed, during 2009, those programs were not canceled, they were just pushed to the right. So, we could see in the out years, '11 and '12, another little mini blip because of the significant spin particularly in the Oil and Gas business in the Middle East. When you look at some of the programs that are out there, that are yet to be procured and the capital expenditures that have been published by many of the NOCs in the region, there is a significant amount of opportunity out there.
Barry Bannister – Stifel Nicolaus: Right, so, if there are change orders or if these contractors are not performing there is a chance that Fluor would be the designated contractor to pick up some of the slack given that they would be out of capacity and maybe in over their head, wouldn’t there be?
Alan Boeckmann: I wouldn’t say change orders on existing contracts, but I think it does bode well for us when you look at the next wave of capital procurements.
Barry Bannister – Stifel Nicolaus: And then lastly, was there any Oak Grove completion or Garyville completion bonuses in this quarter?
David Seaton: There were some, Barry, but we still have the major ones to go on unit two.
Alan Boeckmann: And there was nothing on Garyville.
Barry Bannister – Stifel Nicolaus: Right, thank you.
Operator: And we will take our next question from John Rogers with D.A. Davidson.
John Rogers – D.A. Davidson: Hi, good afternoon.
Alan Boeckmann: Hi, John.
John Rogers – D.A. Davidson: Alan and Dave, you referred to some opportunities for some large project bookings over the next couple of quarters. I’m just wondering from a client’s perspective, are we seeing any risk that it will be a more of an incremental approach with authorizations for work. Do you see that as any significant risk?
Alan Boeckmann: That’s been the typical cycle even during the good times. It is holding true. We are going through the approval cycles and then getting the authorization for the EPC. And that has delayed a number of projects and that’s kind of the dynamic we’ve been talking about that’s impacted our numbers.
John Rogers – D.A. Davidson: Okay. So you don’t have any significant or different concern that some of these larger projects could just be pieced out suppose –.
Alan Boeckmann: No, I think, the ones we’re looking at, again, we have been selective at the ones we’re targeting, John. And I think they are absolutely ones that are going to be awarded on a full EPC basis.
John Rogers – D.A. Davidson: Okay, thank you, appreciate the color.
Operator: Ladies and gentlemen, at this time that concludes our question-and-answer session I will turn the conference back to our speakers for any closing remarks.
Alan Boeckmann: Thank you, operator. I would like to thank all of you for participating on our call this afternoon. We are absolutely proud of our achievements in 2009, but as you’ve seen clearly, 2010 is shaping up to be what I’m going to call a transition year earnings wise, because we have seen an uptick in our front end awards, our study of work. And it reminds me very much of the transition in the makeup of work we saw in 2006. I think David actually commented on that. So if you can take and go forward on that and conclude from our comments on today’s call we are concerned about the markets, but we do see the year unfolding in a manner that will allow us to grow as we go through the year. I think that will bode very well for the closing out the year in a strong position and then moving forward in 2011. Our early indications that I mentioned a couple of times are that both our first and second quarters will be a bit below the run rate that we’ve had on EPS guidance, but we do expect them to get stronger as we go through the year in new awards. Our visibility in terms of the timing of the release of some of these larger projects is starting to get more clearer than it was in the last quarter. And this, as in turn, impacted our confidence level to be able to achieve the recent guidance that we’ve given you. We continue to maintain high expectations for Fluor. And we will take all the actions under our control to deliver the best results that we can for 2010. We really do appreciate your interest in Fluor and your confidence in our company. Have a good day.
Operator: And ladies and gentlemen, this does conclude our conference, we appreciate your participation.